Operator: Good morning ladies and good and gentlemen, thank you for standing by. Welcome to Innergex Renewable Energy's Conference Call and Webcast for the Second Quarter 2013 Results and Mid-Year Review. (French Language). At this time all participants are in listen only mode. Following the presentation, we will conduct a question and answer session for analysts and institutional investors and instructions will be provided at that time for you to queue up for questions. (Operator Instructions). I would like to remind everyone that this conference call and webcast is being recorded today, Friday, August 9, 2013 at 10.00 AM Eastern Time. I will now turn the conference call over to Marie-Josée Privyk, Director, Investor Relations. Please go ahead.
Marie-Josée Privyk: Thank you. Good morning ladies and gentlemen. If you haven't joined already and would like to access the webcast, please go to our website at www.innergex.com. I'm here today with Mr. Michel Letellier, President and CEO of Innergex; and Mr. Jean Trudel, Chief Investment Officer and Senior Vice President, Communications. Also joining us is Mr. Jean Perron, Chief Financial Officer and Senior Vice President. Please note that the presentation will be in English. However, you may address your questions either in French or English, and either by phone or via the webcast. I would also like to point out that journalists are invited to call us afterwards, if they wish to address any question. In a minute Mr. Trudel will provide some details on our financial results to June 30, 2013, for which by the way, there are no slides. Mr. Letellier will then provide a midyear review of our operating activities and objectives for 2013. We will then open the Q&A session, with all three senior executives. Please be advised that this conference call and webcast will contain information that is forward looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. The risks, uncertainties and other factors that could influence actual results are described in Innergex's annual information form. The financial statements on the MD&A have been filed on SEDAR and are readily accessible via the internet. You may also access the press release, financial statements and the MD&A on the Innergex website in the Investor's section. Also this presentation may refer to financial data that are not recognized measures according to international financial reporting standards, as they do not have a standardized meaning. I now turn the conference to Mr. Jean Trudel.
Jean Trudel: Good morning everyone. So here, just a quick overview of the quarter, before we get into the midyear review. Our performance at our hydro and solar facilities was above average, due to good hydrology and radiation, while the wind segment was slightly below average. Overall, electricity production stood at 103% of long term average. In the second quarter, this electric production represented an increase by 14%, which translated into a 16% more revenues, and 15% more adjusted EBITDA, when compared to last year. The increases are mainly due to the commissioning of the Stardale Solar Farm. In May 2012, the capacity additions at the Gros-Morne wind farm in late 2012, and the acquisition of Brown Lake and Miller Creek hydro facilities, also in 2012. These four assets represent together a total net installed capacity of 116 megawatt. Before the end of the year 2013, we are still on track to add an additional 55 megawatt of capacity, which gets along with the newly (inaudible) assets, is expected to bring further growth to our financial results in 2014. To give you a preview of July, obviously one month doesn't make a quarter, but all of our segments are performing very well so far, and especially the wind segments. So for the month of July, the overall production stands at 105% of long term average. Some other items are worthy of mentioning; during the quarter we realized a loss on derivative financial instrument of C$3.3 million, [corresponding] with the closing of the Northwest Stave financing. This does results from lower benchmark interest rates, lower bond yields, compared to the yield that we had lost with the derivative, and the loss is fully compensated by a lower than expected fixed interest rate, on the Northwest Stave loan for its 40-year term. Also as you know, the corporation has an extensive hedging program to protect itself from the potential impact resulting from rising interest rates, and actually since late May, the benchmark rates have increased to approximately 50 basis points, and so the corporation recorded an unrealized gain on derivatives of C$27.3 million. Excluding the net realized loss at Northwest Stave and the unrealized gain and the related deferred provisions for income taxes, the net earnings for the quarter would have been C$13.2 million, compared to C$8.2 million in 2012 and C$10.2 million compared to C$1.1 million for the six month period. More importantly perhaps, the cash flows from operations, which is a more significant measure of performance for us, increased from C$32 million to C$48 million for the six month period. Another point to mention is that, since -- presently, we have no need for additional equity to complete our CapEx program, and in view of the actual market conditions, we decided to remove the 2.5% discount from the DRIP program. So this concludes my part for now, as part of the midyear review, I will provide also an update on our financing, and the potential impact of interest rates on Innergex. So I will pass it on to Michel.
Marie-Josée Privyk: Just before Michel goes ahead with the midyear review, maybe just to summarize the agenda that we are proposing for this morning, to recap the priorities that we have announced at the beginning of the year, and then to give you a progress report on a number of issues, the projects under construction and under development, the MU wind project financing; the Hydromega acquisitions, greenfield developments and also then, conclude with the growth profile for the 2012-2017 period, and then we will open up the Q&A session.
Michel Letellier: All right. Thank you, mademoiselle. So good morning everybody. So in March, we stated the priorities for 2013 that were fairly simple and straightforward. The main focus was to make sure that we were delivering on our existing projects, so we have one wind project in construction in Québec, two hydro facilities in construction in BC, and we are developing four hydro projects in BC, that we want to start construction in 2013. We also stated that we wanted to obtain long term finance for these projects. We also wanted to finalize the previous announcement of Hydromega acquisition, and obviously, we want to also go forward with the greenfield development activities in Québec, BC and in Ontario. So I will give you a little bit more update on these priorities that we had, given the market. So update on projects under construction, we are very happy to announce -- not announce, but to give you updates. The Kwoiek Creek and Northwest Stave are all in line with COD before December of this year, especially Viger-Denonville started construction this spring. Even if we had the strike in Québec, that didn't really slow down the -- well it did stop the project, but the project is going very well, so we don't expect any delay on the Viger-Denonville, in fact, we are hoping for a little bit of early start. Kwoiek and Northwest Stave, same thing; we are going to have this project in line before December. Construction is on line and on budget. We also have concluded the Viger-Denonville financing on August 7, so all of these three projects have now projects financed with fixed rate, and fully amortized over the life of the PPA. Update on projects under development; we have now a new project under development that I will mention a little bit more, it's the MU project, the wind project in partnership with the Mi'gmaq, First Nation in Gaspé Peninsula. So if we take the Upper Lillooet cluster, we always say Upper Lillooet and Boulder, because they are very close to each other, and they are interconnecting on the same line. We have an advancement on all of the material permit. We are only missing the DFO authorization, that comes with the EA program, the EA certificate that has been issued. So we have the water license, the land tenure from the provincial government and we have ongoing discussion, and we are very advanced with receiving the DFO authorization, we are hoping to receive it by the end of August. So all is in line with the -- to start construction for Upper Lillooet and Boulder for this fall, and just to maybe make a clarification, the SLRD temporary permit, is not considered to be necessary to start construction on Upper Lillooet and Boulder. We are still negotiating with BC Hydro to amend the existing PPA. We think we can create a little bit of revenue there, and to cancel the North Creek Test facility. Discussion is ongoing, and we have a very good relationship with BC Hydro on those issues. Tretheway Creek and Big Silver Creek, little bit the same. Actually, they are almost on the same level or same advancement as Upper Lillooet and Boulder. We have the water license, we have the land tenure from the government, and we have received a first draft recommendation from DFO for Tretheway and Big Silver. We are negotiating also with contractor. I was mentioning also for -- well I am coming back to Upper Lillooet and Boulder Creek; we are very advanced with a contractor, so we are in the final stage of negotiation with them. So very pleased to have that achievement as well. So we are hoping to finalize the contract somewhere in November, beginning of October, and meanwhile, we are advancing some, I guess some works, so we are not delaying the construction waiting for the contractor. Tretheway, we are very advanced as well with the contractor, hoping to finalize the contract somewhere in September. Big Silver, we have ongoing negotiation, but Big Silver, we don't necessarily have to start the full construction this fall. We have plenty of time to start construction early summer, to meet the COD date on Big Silver. Now, I'd like to take a little bit of time to explain the MU project, the real name, to this date, I cannot even pronounce it, but we call it the MU wind project. It's a project that is in Gaspé Peninsula, and it's on the side of Baie des Chaleurs for people that know the Gaspé Peninsula. It's a 150 megawatt wind project, that our partner, the First Nation, the Mi'gmaq nation have worked for the last, at least eight years, trying to develop this project. So we are very-very pleased that the project has been selected by the government, and a resolution in the parliament, signed by both parties, the Parti Québécois and the Liberals, supporting the direct negotiation for this project with Hydro-Québec has been passed in late June this year. So that opened up the discussion for us with Hydro-Québec. We had several meetings already with Hydro-Québec on establishing the EPA. So we hope to have a conclusion on the EPA, somewhere in September, and then we will be able to disclose the specifics of this particular project. But for us, we are very-very pleased. It will be quite accretive for Innergex, and we can advance this project even further for us. We consider it now as a development project with an existing PPA, given the fact that the government has given the [mandate] to Hydro-Québec to sign the PPA with us. We have also advanced the environmental permitting on this project, all of the data gathering and production of the environmental study has been done, and has been deposited to, or submitted through the Ministry of Sustainable Development in Québec. We will have eventually the public aspect of the project to be dealt with, but for the data gathering, and nothing has been found to be a problem for this particular project. We expect a COD date anywhere between late 2016 and 2017. We are finalizing with Hydro-Québec, the division to basically interconnect this project. So this will be basically, the time or the -- I wouldn't say the bottleneck, but the restriction is in the interconnection, not our ability to build the project in this timeframe. So for us, that means it's -- we are fully committed with the First Nation. The split on the revenue will be roughly 75% of the distribution in the first few years would be for us, and then the split after the years 2015, to the remaining life of the project, will be split between 35% and 40% for us, and roughly 65% to the First Nation. For us it's okay, I mean, it is the deal the First Nation wanted to have, and it's providing quite a bit of good accretion on cash on cash in the first year, so that helps also our cash-on-cash profile. So this project, all in all, is a very-very good news for Innergex. On that note, I will let Jean Trudel to give you an update on the project finance, and I will come back at the end of the presentation. Thank you.
Jean Trudel: Thank you, Michel. So I guess an ambitious CapEx program has to be equally met by an ambitious project enhancing program. So when we started the year, we had objectives to put in place, project financing on Northwest Stave, which we did to refinance Carleton as well, and which we did also, and (inaudible) did most recently, that we closed, I guess, before yesterday. So far it's going well, each of these project financings have been done, have interesting rates, and interesting leverage ratios, and provides us the liquidity to complete these projects. The nice thing about Carleton is that we were able to actually refinance this debt, with an additional $11 million of debt, so providing us with $11 million more of capital. Throughout all this, we also extended the revolving term facility to 2018 and it's not just an extension, but it provides us additional flexibility, and in a large part, additional flexibility to actually enter into an exhaustive hedging program for the project with our -- for which we will start construction by the end of the year. So right now we are in a position to seek to lock the interest rate on the Upper Lillooet cluster and the TBS cluster, and that's what we will be active to do, as soon as possible then over the coming weeks. The two major project financings, certainly, in dollar amounts are the Upper Lillooet financing and the TBS financing. Right now we are still in discussions with many parties to look at what are the terms and conditions to raise this debt. We are finalizing, as Michel mentioned, a permitting, and as soon as the overall package will be known, it will be disclosed to interested parties, and [move ahead]to document these norms as soon as we can. Now, the next slide is, it's important I think to talk about the impact of the increase in long term interest rates. It has been in the news of course. We have seen the (inaudible) rise, as I mentioned earlier, by about 50 to 60 basis points, depending on the duration. And I'd like to make may be just a point on that. But before I start on the slide, first of all, we sometimes hear the comments that our level of debt is high, and if we look at the usual ratio that one can apply across the different industries, such as debt-to-EBITDA or debt-to-book value, it's true, the ratios seem to be high. But it's very important I think to realize that, we have mainly hydro assets that are very young with our assets, and they all have an average of about seven years old, and they can operate for a very long period of time. Hydro assets can easily run for 60-75 years. Also, all the electricity that we sell is sold on long term contracts, with highly rated grid counterparties, and in most cases, these long term contracts provide for a production to inflation. Innergex has the longest stream of contracted cash flow in the industry, and other feature also is that all of our project debt amortized over the first term of the power purchase agreement, and also 96% of the corporation debt are fixed or hedged against interest rate movements. So all these elements are putting us in a very good position to make good use of leverage, in a sound and [featured] fashion. So on that note, I mean, I think it's very important to look at the asset quality, when we comment on the level of indebtedness. So as far as the impact of long term interest rates, as I mentioned, there is no real impact on operating performance. We are hedged, or fully hedged or practically fully hedged, and as you sign the quarterly results, when the interest rates rise, we have a gain on derivatives, and the other way around if interest rates go lower. We also have no impact on financing for projects that are under construction, and we have secured all the financings, and it's either secured with fixed rate or swaps that are in place. So on that, we have no risk. The potential impact is really on the projects under development. Obviously higher interest rate could impact the rate of return. But as you should know, we have put very conservative numbers in our budgeting, and we are still within the range that we had perceived, when we entered into these PPAs. So for now, the impact on our expected IRR is very modest, and actually for the -- as I mentioned earlier, we are actually going to put the hedging program in place for our projects. And as soon as the material permits are all completed and because of the refinancing of the corporate facility, we are now in a better position to do these hedges. So we will proceed with that, as soon as possible. And as for the MU project, our current negotiation with Hydro-Québec are taking into account all this potential risk of rising interest rate. Now on greenfield development and prospective project of course, there is no PPA secured. So whenever we would put a project like this to an RFP, we would take into consideration, the actual interest rates and so that would reflect in the higher selling price that would be proposed to the public utility. Potential impact on the M&A activity; of course higher rates mean an adjustment is required to the valuation metrics, either in the form of high IRR or lower multiples. I think we have been successful in the past to conduct accretive acquisitions in all kinds of the market -- in market conditions, and we still believe that we have a very competitive currency, and that the market just adjusts itself, and life goes on. So I think if we see an acquisition, it still needs for us to be accretive, and that's where we will target ourselves to do. So on that, I will pass it on again to Michel.
Michel Letellier: All right. Thank you, Jean. So we are continuing on the update on the [quarter] for 2013. So we have also said, that we wanted to conclude on Hydromega acquisition. While we have concluded on the acquisition of Magpie, the 40 megawatt, the hydro facility was closed on July 25, so we are very pleased on that. Now we are still negotiating for Sainte-Marguerite (inaudible) casing. We have no set timeframe for closing this acquisition. Obviously, we are adjusting, as just Jean said, with the market conditions. We are still having discussion with a partial payment, and show it to Hydromega owner, it's still possible. We still have our C$25 million deposit, it is refundable, with 180 days, if no acquisition is made, and there will not be an acquisition, if it's not accretive for us. So I want to make it very-very clear, we will not do an acquisition if it doesn't make sense, and if it doesn't make a good contribution to the cash flow, and also the shorter cash flow of Innergex. There is no public issue of common share at this time, given the market condition for these acquisitions. There is no way we would be putting ourselves into a dilutive mode for completing the acquisition, that we don't have to finalize, if we are not happy with it. Update on greenfield development; I know that many people are very pessimistic about greenfield development and renewable energy in general. Well I don't share their views. I think that it's true that the shale gas discovered or development is putting pressure on prices, but shale gas is still contributing to CU-2. There are studies showing that the leakage at the head of the wells are basically a lot more than they had anticipated. So it's not the only solution. I think that renewable energy is still part of the solution for the future. It's not the only solution, but it's certainly part of the solution, and at Innergex we strongly believe that there is a big bright future for renewable energy, throughout the world, and also in our main market, being Quebec, BC, Ontario, and North America. On that note, in Quebec, if you remember, there is still an RFP that has been announced by the PQ government. Summer time has been very busy for the government with a very tragic event in Quebec, that has slowed the process. But we are very positive towards having a news or a new decree by the end of summer, early fall, that will put the rules to basically a 450 megawatt of new contract to be allowed or contracted for the next few years. So we are very strong on those markets, there is 300 megawatt in the Gaspé Peninsula and Lower-St-Lawrence regions, where we have been investing a lot of time and resources towards the community, and we think we have very good project to propose in those future RFP. BC is still -- that's a big market for us. We still are very positive of the people, or even BC Hydro is showing, a huge demand for the short term. But on the other hand, they want to have a big LNG development program, the new Liberal government were elected on the possibility of putting the LNG project on line, as soon as 2017-2018. So on that basis, we think that wind or small hydro in the Northwest hydro, would be part of the solution to have this big project being accepted, both by the community and First Nation, and we are planning to benefit from the future development, and we have good project in those areas, we have initiated very good relationship with First Nation as well. So we are still very positive towards the development in BC. Ontario market is a little bit more complicated to understand. We still think that it's a long play for us, medium term play for us. We have good project in the Northwest of the province. We, away from the -- I guess, the (inaudible) area, where we have seen some difficulties for projects to be permitted. We are still focused on Ontario, but we think it's probably a little bit more medium term than Quebec and BC. Just the last slide is showing the growth of our EBITDA; as you can see, this is bringing a 12.5% compounded growth on our EBITDA, and this is only with project that we have existing PPA, and it doesn't even account for the MU project that has not been, basically, signed -- the EPA has not been signed yet, so we are not showing it, because we are waiting until to have the finalized numbers. But this is showing you the growth that we already have on our books, and that doesn't even include the MU, as I said. Maybe furthermore, this growth doesn't need equity. We don't need equity to go through that growth phase. So in summary, we have the same business model. But what does same business model mean for us? Well it means, sustainable dividend, supported by young asset, with the longest PPA, with maturity of hydro. We have no exposure on debt costs for the operating project, as Jean explained. We have project finance with fixed rate, fully amortized over the life of our PPA. We have a pipeline of growth, as we just see, with more than 200 megawatt of project with existing PPA, that's translating with a 12% compounded growth on our EBITDA, for the timing of 2017, and we don't need equity to do that. We need project finance, as Jean said. But we are putting the [edge] in place to protect the economics of those project, as we already did in the past. We also invest in our prospective projects. Why? Because I stated -- because we believe in the future, and we believe renewable energy is the future. So on that note, we are opening to questions.
Marie-Josée Privyk: Thank you, Michel. Thank you, Jean. We are really -- as Michel mentioned, opening the Q&A session, and once again, you can ask your questions either through the phone, conference, or through the webcam.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. (Operator Instructions). Your first question comes from the line of Rupert Merer with National Bank. Your line is open.
Rupert Merer - National Bank Financial: Good morning everyone.
Michel Letellier: Good morning.
Rupert Merer - National Bank Financial: So you mentioned that you don't need any more equity for your development projects. Does that include the MU project, which you need additional equity for building that project?
Jean Trudel: No.
Rupert Merer - National Bank Financial: Okay. Then with the lower equity price today, does that change your view on how you might prioritize dividend increases in the future? Would you may be more interested in accessing internal equity for growth going forward?
Michel Letellier: Well they always depend, and that's -- I always say that this is a difficult decision that the board always has to do, in terms of allocation of resources. But we are very-very mindful, as we always said, that dividend growth is important, and it's an important part of the decision for investors to commit equity. So we are very mindful of that. The board is mindful, and we will definitely be considering very closely, this. I think that it's important to show and to reward the investors. So that being said, I think you can read between the lines, what I am saying, is growth for dividend is important for us, and it is important also for the board.
Rupert Merer - National Bank Financial: Great. Then just finally, looking at Upper Lillooet, you mentioned you are renegotiating the PPA with BC Hydro. Tell us a little bit more about that process, and does that renegotiation impact the final configuration of the project, and therefore -- and you start moving on construction before you finalize that PPA?
Michel Letellier: Well thanks for asking the question. When I say renegotiating, if you know, we always have, and especially those (inaudible), it's a little bit complicated in the subscribed capacity, [thermal] energy, and increased capacity. So we said that we want to increase capacity on Upper Lillooet, on Upper Boulder, and (inaudible). So we are reshuffling with BC Hydro, not the pricing, but the distribution of the [farm] energy throughout the years, and throughout Boulder and Upper Lillooet increased capacity. So we believe it's just a plus, considering the hydrology that has been a little bit better on Upper Lillooet, so we are taking advantage of the distribution of the water, throughout the years, and the possibility of increasing the Upper Lillooet by about 10%. Same thing with Boulder, with the cancellation of North. So those are the topics that we are finalizing with BC Hydro.
Rupert Merer - National Bank Financial: How far can you go in construction of those projects, before you nail down the final configuration?
Michel Letellier: Well, we have -- we are almost finished with BC Hydro on that aspect. We have a business agreement, and we are just hammering down the last documentation to amend the PPA, but I could say that -- the negotiations are done. So we could go ahead.
Rupert Merer - National Bank Financial: Very good thank you.
Operator: The next question comes from the line of Nelson Ng with RBC Capital Markets, your line is open.
Nelson Ng - RBC Capital Markets: Thanks. Good morning everyone.
Michel Letellier: Good morning.
Jean Trudel: Good morning Nelson.
Nelson Ng - RBC Capital Markets: I just want to confirm your kind of definition of accretion relates to increasing distributable cash flow per share, assuming like amortizing debt? Is that generally right?
Jean Trudel: Yeah, yeah, yeah, yeah. When we see cash flow, we look at after what could the project pay to the head office, I would say. If you look at the project finances, and as a separate entity, when we are making acquisition, we are looking at the ability of that particular project to return capital to the head office, and hence, being able to distribute.
Nelson Ng - RBC Capital Markets: Okay. Then I just wanted to get your thoughts on the payout ratio, I believe in 2013, the payout ratio was slightly -- or is it expected to be slightly above 100%, but I just want to kind of get your view on the payout ratio for 2014?
Michel Letellier: 2014 will be below 100%. But mind you, that we are still considering investing a little bit more than C$5 million on prospective expenses. That can be obviously monitored, depending on the perception of the market and the likelihood of being successful. But our payout ratio takes into account this spending as well.
Nelson Ng - RBC Capital Markets: Okay. So that would just be -- just below 100% for 2014?
Jean Trudel: It will be below 100%, yes.
Nelson Ng - RBC Capital Markets: Okay. I don't want to put a range, whether it's like 90 to 100 or narrow that range?
Jean Trudel: We are discussing internally and with the audit committee to give you better guidance in 2014, in our MD&A on the payout ratio. But we are finalizing the measure, because obviously, there are many ways to publish payout ratios, but we just want to make sure that we are using something that is comparable to our peers, and that can be basically used for the future and being able to give you guidance a little bit more. But it's all good, and we are very positive towards our ability to free up cash flow in the future years.
Nelson Ng - RBC Capital Markets: Then just on the DRIP. You mentioned that the 2.5% discount was removed due to market conditions. Is there a certain level, where you had to reimplement the discount on the DRIP?
Michel Letellier: If we are very successful in obtaining new projects, because we don't need equity with the project that we have on hand. If we are very successful in getting new projects, we could monitor this to get a little bit more participation in our DRIP. But the DRIP was becoming very-very popular. We have more than 35% participation in the last quarter and given the -- our perception of the price of our stuff versus the asset, the underlying assets, we even considered cancelling the DRIP altogether. But I think that it's a feature that all investors like, and since it's in place, and could be a tool, if we are a little bit more successful in the future, so we decided to keep it.
Nelson Ng - RBC Capital Markets: Okay. Got it. Then just a question in terms of the hydro projects that will start construction this year. So there are a number of projects that will start construction this year. Are you using the same EPC contractor, and I was just thinking if you are using like one contractor for a number of projects. I guess there are risks that construction might not start in time, in terms of like limits to like -- I was just thinking labor constraints and things like that?
Michel Letellier: That's a good point Nelson, and that's why we are fortunate to have the ability to bring also some contractor from the East. Quebec these days is quite slow in terms of industrial and big infrastructure projects, so we have very competent contractors here, that are looking for new challenges. Those contractors who have done business in the past, they are very capable, and we think that this is a big advantage for Innergex to have this ability to bring a little bit more, I would say competition, and manpower and knowledge to start our construction over there in BC, and we are trying to diversify it also, we are not giving all the work to one group. So right now we have three groups working towards these four projects, so I think that it's well spread. And we can take advantage of this, I guess, knowledge and capability.
Nelson Ng - RBC Capital Markets: Okay, got it. And then the construction window each year, is mainly -- is it just mainly from like April to December, or like is it three months or more, where you have to stop due to the winter?
Michel Letellier: Well, you know that winter in high mountain range can be long, Nelson. You are from Vancouver. So Upper Lillooet and Boulder have shorter window of construction, because they are higher in elevation. But we and Big Silver, we can work all year around.
Nelson Ng - RBC Capital Markets: Okay. Got it. Then just kind of one last question. In terms of the hydrology to date, I think Jean mentioned that July was good month, in terms of being 5% above the long term average, and I just thought, I mean, Vancouver in July has been great. I think we haven't seen a drop of rain in July, so I was just wondering whether the BC facilities have -- are like significantly below average, offset by strong production in the East, or?
Michel Letellier: No, July has been good for the East -- even for Vancouver; because as you know, there is a lot of snow melting in the high altitude when it's warm. The worse would be dry and cold, but when it's really warm, we have quite a bit of project cash, through Rutherford, (inaudible), Brown, that take advantage of a lot of melting. Little bit less true for the Stave and Upper (inaudible). But July has been basically, on average for BC. August, might be a little bit lower, starting for Harrison and the Upper Stave, but the rest of the project are still benefitting quite a bit on the glacier melt. So no big concern there.
Nelson Ng - RBC Capital Markets: All right. Great. Thanks a lot.
Operator: The next question comes from the line of Sean Steuart with TD Securities. Your line is open.
Sean Steuart - TD Securities: Thanks good morning everyone. Couple of questions. With respect to the remaining Quebec Wind RFP, I guess Michel, based on your comments, you expect some clarity on how the process evolves later this summer, early fall. Would you expect any potential winning bids into that RFP? Will you be looking at the same sort of COD timeframe that you are looking at for MU, which I guess is 2016-2017?
Michel Letellier: I think that if you remember, just for the benefit for everybody. This RFP is too (inaudible), and obviously it brings very good renewable energy at a reasonable price in Quebec. But it also drives -- also a lot of jobs in the Gaspé Peninsula and through Quebec. So the idea that they want to spread, this megawatt to sustain the local jobs. So I don't think they will bring a lot of new project before 2016. I think that the idea is to complete or to follow-up on the working orders. So right now, the last RFPs are providing fairly good orders to the supply chains, up to 2015, and our project to take over from 2015 and fill up some space in the plants. So I'd say that 2017 and up to 2020 are going probably to be the target date for these programs.
Sean Steuart - TD Securities: Understood. And wondering if you can speak to your thinking on broadening your geographic footprint essentially, and I appreciate you have got a deep pipeline in Canada, and this is where you are comfortable, but number of your competitors, I would be procurement. Landscape is not quite as clear in Canada, reaching further and further out, both in terms of geography and technology. Has your thinking on potentially expanding the footprints internationally changed at all?
Michel Letellier: We are very cautious about that. Obviously, there is a lot of activity in the U.S. We know the U.S., as you know, we have been through the process of permitting and dealing with FERC for Horseshoe Bend. So we don't have a lot of concern about the process in the U.S. It's just we have been so busy in Canada, but this winter the U.S. seems to be quite busy, and we -- if we follow the speech of Mr. Obama, they seems to be committed to creating a lot of renewable energy as well. So the U.S. might be a good place for us to take advantage of the growth in that sector. Europe could be also a place where we can have an interest. But we are very-very cautious in terms of exposing ourselves to new markets that we are not very comfortable with yet. And again, I think, you guys are a little bit pessimistic about what we can do in Canada.
Sean Steuart - TD Securities: Not me. Thanks guys. Appreciate it.
Operator: The next question comes from the line of John Safrance with Cantor Fitzgerald. Your line is open.
John Safrance - Cantor Fitzgerald: Good morning. Just curious, in other words, entering, I guess the construction phase for the Upper Lillooet cluster and the Tretheway, Big Silver Creek, I guess this year. Are you any closer, any more comfortable in terms of dialing in the expectation for COD, within the given years that you have provided guidance for in the MD&A. So for the Upper Lillooet cluster, were you looking early 2016 or closer to later 2016 and then maybe later 2015 for the other ones?
Michel Letellier: It's probably the later 2015 for the Upper Lillooet, and for Tretheway, probably midyear, and -- we still want to be a little bit flexible, because it is weather related also with (inaudible) windows and what have you. Those hydro facility projects are a little bit complicated to build, and it's a little bit remote. So depending on whether sometimes we can have a little bit more working time during longer summer season, or we can get caught with early fall, the snow. So we want to be cautious in those specific comments.
John Safrance - Cantor Fitzgerald: Thanks. In terms of leverage ratio, as you pursue the financing for these projects, what are you sort of targeting or what do you think is possible?
Michel Letellier: What we have always done in the past, is the main driver is the debt coverage ratio. They are fluctuating a little bit, but on average, usually lenders are looking at something, a blend of an average of 1.4 times the debt payment. So that usually translates anywhere over 80% -- anywhere between 75% and 85%, depending on projects. So we don't expect any deviation from that, as you know, on Kwoiek and Northwest Stave, which are basically fairly new. So the loan lenders, the insurance company are still talking to us, and they seem to be very interested, given also -- I guess the quality of work that we have shown in the past. Our ability to deliver project without big fight with contractors. As you have seen in the past, we haven't gone into lawsuits against anybody. I think we have a very good construction contract. We have a very good construction team. We have an attitude towards solving problems, instead of creating problems. I think we have very good creek engineering, so that we understand very-very well our project. So all that, I guess, on the long run helps us to have some very good serious lenders, that our interest has been in lending money, even in the construction period for us.
John Safrance - Cantor Fitzgerald: Okay. Thanks very much.
Operator: (Operator Instructions). Your next question comes from the line of Jeremy Rosenfield of Desjardins Capital Markets. Your line is open.
Jeremy Rosenfield - Desjardins Capital Markets: Thanks, good morning everybody.
Michel Letellier: Good morning Jeremy.
Jeremy Rosenfield - Desjardins Capital Markets: So, just the first question on the MU project, and I won't attempt to try to say what it's actual name is either. Are there any preliminary cost numbers that you might be able to disclose, in terms of what the size of that project might be?
Jean Trudel: Well, it's certainly going to cost more than C$300 million. It's 150 megawatts. So these days, wind project costs are in the range of C$2 million, slightly over or slightly lower, so it's in the range of C$300 million plus.
Jeremy Rosenfield - Desjardins Capital Markets: Given that it's farther out, is there any way for you -- when you are bidding this sort of pricing, or negotiating pricing with Hydro-Quebec. To include, lots of flexibility to counter potential changes, and things like turbine costs, and that sort of thing?
Michel Letellier: Well, what we do is, it's for and it's not, and turbine manufacturer are -- you see the (inaudible) very cooperative these days, because the ones that are here, wants to see here in Quebec, and they know that this is the contract to solve their problem past 2015. So we have the lot of collaboration from the existing two or even three turbine manufacturers that are in Quebec. And we will have some further interest from other mainstream manufacturers, that wants to commit a [firm] price to us. Where we want to be a little bit flexible with Hydro-Quebec, and it has shown that in the past, in their PPA, is to have protection against the rising interest rates.
Jeremy Rosenfield - Desjardins Capital Markets: Great. Do you think that that type of protection would be sort of an annual escalator, that Hydro-Quebec has included in previous contracts, is that the structure of the protection that you are going for?
Michel Letellier: Well in the past, they even had a flowthrough on the adjusting EPA price based on the 10-year bond. So that was a direct flowthrough. That was neutral for both parties on the pricing, if interest rates were to move. We have that in the -- all the capacity programs, our 600 megawatt worth of wind project has that feature.
Jeremy Rosenfield - Desjardins Capital Markets: Okay great. Maybe just sticking with MU for a moment. The split in the revenue between Innergex and the First Nation's partner, are there specific dates contemplated for when the First Nation's partner would increase its interest, or is it linear, or really is it at the discretion of the partner, as to when they want to inject more equity?
Michel Letellier: It's the big split start at year 2015, but they have an option to acquire some participation, where they would have to pay some kind of a makeover -- prepayment for us, if they acquire quicker than the 15th anniversary.
Jeremy Rosenfield - Desjardins Capital Markets: Perfect. Maybe just the last question on Brown Lake in Miller Creek, I am just wondering if there is any updates in terms of the upgrade projects that you had previously talked about?
Michel Letellier: A good point. We are starting the construction of the water intake and the cleaning of the cleaning of the (inaudible) by Mid-August. We have all the permits. We have selected the contractor, and it's on time and on budget, so that's a good use for Miller Creek. By the way, Miller Creek has been producing on budget, and we have been benefitting from the (inaudible) pricing, and higher price than we had anticipated. We have been successful in creating the synergy by letting go the existing employees at Miller Creek and replacing them with one employee, and one supervisor, that's splitting his time between Rutherford and Fitzsimmons. So all in all, we are very-very pleased on Miller, and we have initiated the environmental process to have the extension on Brown. So far, we are on track on Brown expansion as well.
Jeremy Rosenfield - Desjardins Capital Markets: Okay great. Those are my questions. Thanks.
Operator: Ms. Privyk, there are no further questions at this time.
Marie-Josée Privyk: Thank you. Thank you everyone. We appreciate this opportunity to give you an update on our company. Please do not hesitate to contact us if you have any other questions. (French Language).